Operator: Good day, everyone and welcome to the Copart Incorporated Third Quarter Fiscal 2018 Earnings Call. Just a reminder, today’s conference is being recorded. For opening remarks and introductions, I would like to turn the call over to Mr. Jeff Liaw, Chief Financial Officer of Copart Incorporated. Please go ahead, sir.
Jeff Liaw: Thank you, Cathy. Good morning, everyone and welcome to our third quarter fiscal 2018 earnings call. I will start with the Safe Harbor in a moment. I am joined today by Executive Vice President, Will Franklin, who will also provide additional commentary on the business. First, the Safe Harbor, during today’s call, we will discuss certain non-GAAP measures, including non-GAAP net income per diluted share, which includes adjustments to reverse the effect of foreign currency related gains and losses, impairment of long-lived assets, acquisition related fees, certain income tax benefits, foreign income tax credit limitations and payroll taxes related to accounting for stock option exercises. We have provided the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures on our website under the Investor Relations link and in our press release issued yesterday. We believe the presentation of these non-GAAP measures together with our corresponding GAAP measures is relevant in assessing Copart’s business trends and financial performance. We analyze our results on both GAAP and non-GAAP basis described above. In addition, this call contains forward-looking statements within the meaning of federal securities laws, which are subject to substantial risks and uncertainties that could cause actual results to differ materially from those projected or implied by our statements and comments. For a more complete discussion of these risks that could affect our business, please review the management’s discussion and analysis portions in our related periodic reports filed with the SEC. We do not undertake to update any forward-looking statements that maybe made from time-to-time on our behalf. Now, I will transition to a review of Copart’s third quarter. We are pleased to report all-time highs for Copart’s in unit sales, revenue, gross profits and operating income. We experienced global revenue growth of 27.9%, including a beneficial year-over-year currency effect of $8.6 million primarily due to relative strength in the British pound. Excluding Hurricane Harvey which had a modest effect on the quarter, we experienced revenue growth of 27%. Global unit sales grew at 12% versus the third quarter of last year with U.S. unit growth of 12.7% and international unit growth of 8.5%. Our growth in the U.S. has been driven by market growth, customer wins and acquisitions. Inventory worldwide grew at 8% year-over-year, less than 1% of the inventory at the end of the quarter, were catastrophic vehicles related to weather events and approximately 1% of the inventory growth is attributable to acquisitions, which we will comment on later in the call. Service revenue grew $78.4 million versus last year or 23.6% and purchase car revenue grew $25.9 million or 62.4% in that case due to acquisitions and growth in certain European markets. Our gross profit grew from $172.5 million a year ago to $219.1 million this year with a slight decrease in gross margins from 46.1% to 45.8% driven by a slightly higher vehicle sales mix and importantly Hurricane Harvey expenditures of $7.4 million for the quarter. I will pause here to talk about average selling prices, which as you know are a driver of our business. We experienced improvement in ASPs year-over-year of approximately 17% in the U.S., 16% ex-catastrophic cars. Continuing the themes you have heard us talk about on the last few calls, the underlying drivers of the sales price improvements have included are auction performance and member recruitment, but additionally also newer cars being totaled, less severely damaged cars, more bidding activity, a reasonably healthy used car price environment, and a solid scrap environment as well. Will will additionally comment on this matter further in our call. I noted a moment ago that our gross margin was affected by excess catastrophic expenses of $7.4 million in the quarter. After taking into account revenue from those same catastrophic events, Hurricane Harvey represented a net effect of $3.9 million operating loss for the quarter and a $12.8 million loss through the first 9 months of fiscal 2018. Turning our attention to general and administrative expenses, they were up from $32.5 million a year ago to $39.1 million this year ex-depreciation and amortization with almost half of the increase due to acquisitions. As we have noted consistently, our general and administrative expenditures will grow over time with inflation and with increasing complexity in the business. We continue to believe we can achieve operating leverage given the top line growth rates we have experienced. Our GAAP operating income grew from $136.8 million a year ago to $174.6 million this year or 27.7% change. Excluding that catastrophic loss of $3.9 million I noted a moment ago, our operating income growth would have been 30.5%. We have shown slight operating margin expansion despite the modest shift towards vehicle sales revenue. Our net interest expense for the quarter was down from $5.5 million a year ago to $4.1 million this year due largely to a lower debt balance offset slightly by higher interest rates – higher risk-free interest rates. Our third quarter income taxes reflect the benefit of course of a lower year-over-year effective tax rates by virtue of the Tax Cuts and Jobs Act. The income taxes for the 9-month period reflects the complexities of the one-time transition tax accrual of approximately $10 million on repatriated foreign earnings, which will be paid over the next 8 years and is subject to further guidance and fine-tuning from the IRS. As we have noted on the last call, we will experience a reduction in our U.S. federal tax rate this year from 35% last year to 26.9% in fiscal ‘18 due to our straddling the calendar year with our fiscal year. Our fiscal ‘19 tax rate then will be lower still to account for the full year benefit of a 21% federal tax rate versus the 26.9% federal tax rate we will experience here in fiscal ‘18. Our GAAP net income increased from $90.5 million to $127.3 million or 40.6% growth year-over-year due largely to revenue growth as well as the benefits of tax rate changes. On a non-GAAP basis in the schedule we provided to you, we reflected growth in net income from $86.4 million to $125 million growth of 44.7%. This in both cases excludes the book tax benefits of our early adoption of ASU 2016-09 regarding the tax treatment for stock option exercises. Of $3.1 million in the third quarter of ‘18 and $4.0 million in the third quarter of ‘17 it also excludes currency-related gains on cash balances of $0.3 million in the third quarter of ‘18 and $0.2 million of losses in the third quarter of ‘17. Our effective share count has increased slightly from 235.4 million to 239.9 million largely attributable to increases in our share price. Our non-GAAP EPS increased substantially from $0.37 a year ago to $0.52 this year. A few notes on cash flow. Our operating cash flow for the quarter was $190.8 million compared to $192.2 million a year ago due to substantially increased cash earnings in the current year offset by significant a cash tax benefit in the third quarter of ‘17. Our CapEx was $68.8 million consistent with prior quarters, of which over 90% is for land and development continuing our land and facilities expansion program. We do expect that investment profile to remain elevated in the quarters and years to come. One last comment and I will turn it over to Will. This week, we received a jury verdict in our favor of a net $16 million in the finding of professional negligence and fraud against Sparta Consulting now known as KPIT, a systems implementation farm we had business dealings with ending in 2013. In accordance with GAAP, this verdict is not yet reflected in our financial statements. With that, I will turn it over to Will Franklin, Executive Vice President.
Will Franklin: Thank you, Jeff. Let me provide some operational narrative around Copart performance for the quarter. Some of my comments may seem familiar. However, they remain appropriate as we have not seen a meaningful change in the market dynamics for the direction of our efforts. In the U.S., our tremendous growth in revenue was primarily driven by increased volume, which on a year-over-year basis was 12.7%. Excluding Harvey, it was 11.9% and was driven once again by organic growth and wins within the insurance market and continued growth in most of our non-insurance segments and acquisitions. Total volume from non-insurance sellers, which include franchise and independent dealers, finance companies who give us the repossessions in off-lease vehicles, charities, municipalities, equipment dealers and brokers, grew by almost 38%. Within the non-insurance market, we are seeing a shift in mix as growth in volume from dealers and financial institutions was up almost 83%, while volume from municipalities and other low margin sellers declined as we continue to dedicate our limited land capacity to the more profitable segments. Volume from dealers and financial institutions are typically run and drive vehicles that yield an average ASP and an average gross margin significantly greater in insurance cars, while at the same time having a shorter cycle time. In total, non-insurance cars represented almost 21% of total car volume in the U.S. We believe growth in these non-insurance markets is attributable to the introduction of new programs, services and brands targeting each segments’ specific needs as well as our ability to deliver outstanding auction results. In the U.S., our service revenue per car on a quarter-over-quarter basis is up approximately 9%. The increase in revenue per car was due primarily to higher ASPs. As Jeff has said and I will illustrate a little further the increase in ASPs were driven by a number of factors. The value of used cars as measured by Manheim Index was up almost 6%, the value of crushed car bodies as measured by indexes maintained by American Recycler were up over 13%. The beneficial mix of cars sold has previously discussed and increased bidding activity as both the number of unique auction participants and the number of bids per car are up significantly year-over-year. Further, we are seeing a trend from the insurance companies in which they are totaling cars that are less severely damaged. As the high returns we are generating for those types of cars and the increase in repair costs makes such a shift warranted. We are seeing a significant benefit from our international buyers as total bidding activity from this group is up over 46% year-over-year. The percentage of the value of cars sold to the international buyers based on the buyers’ business address increased over 10% and stands at 22.3%. However, we know this percentage significantly understates the number of cars being exported as many exporters have domestic addresses. Based on the IP address, we estimate 30% to 35% of all cars sold in the U.S. are ultimately exported. During this quarter, Jordan became our fourth largest export market following Mexico, UAE and Nigeria. Canada continues its remarkable growth. Year-over-year volume grew by over 45%. As our Canadian leadership team matures, our infrastructure expands and we grow our share of the Canadian market. Due to this growth, we are actively searching for land in Moncton, Halifax and Toronto and we will soon be announcing a significant expansion of our yard in Edmonton. Turning to the UK, we are also generating another strong quarter. We saw a marginal growth in the units sold resulting in part from our decision to eliminate the low margin cars from our direct purchase program and to eliminate in total cars sold from certain municipalities. Nevertheless, expressed in GDP, revenue grew almost 10% as these strategic moves resulted in significantly higher yields per car. Volumes in Germany continue to grow. Volumes for March and April were more than double the run-rate for the previous 4 months. We have now entered into arrangements on a limited basis to market cars before insurance companies and 3 rental car companies. We hold biweekly auctions at our Hanover yard and in April we had our first auction at our new Leipzig yard. The Leipzig auction will continue to be held on a monthly basis. We are also very pleased with our German auction results. Auction buyer participation continues to exceed our expectations as the number of participants and the number of unique bidders per auction, are actually higher than those same metrics for North America. Returns achieved through our German Copart auctions significantly exceed those achieved through the existing remarketing conventions currently available to the German insurance industry. Key to growth in volume in Germany is the expansion of our network of facilities. In addition to our operational facility near Hanover, which was opened in our first quarter of fiscal 2017 and our new facility in Leipzig which while not officially opened is in a state of development that allows us to hold auctions. We have 5 other locations in Germany targeted for acquisition and development, including Germany on which we expect to break ground within the next two quarters. In March, we announced the acquisition of AVK, a salvage operation in Finland. AVK has four yards and a robust base of buyers, including buyers in Russia and the Baltic States. It was an opportunistic acquisition and it bids in well with our goal of expanding our footprint throughout all of Europe. We are also seeing meaningful progress in Brazil, were expressed in reals, revenue grew by almost 16%. As our Brazilian operations mature and we continue to gain market share, we expect it become a more meaningful contributor to our overall financial performance. Turning to our operating cost, we are seeing rising diesel fuel, labor and health insurance costs. These increases have impacted our average cost to process each car. On a consolidated basis and excluding abnormal cost, with Hurricane Harvey, our average cost to process each car grew marginally over the same quarter last year. Our inventory in North America was up 7.3%. Inventory outside of North America was up 13.6% and consolidated inventory was up 8%. As we have previously discussed extensively, the drivers for the growth in North America total loss market. We will continue – we see the continued trends in both accident frequency, total loss frequency and growth in car park. We expect to see continued growth in car park and accident frequency. Car park growth has been driven by new car sales, which have remained surprisingly robust with the SAR hovering around $17 million and more importantly by the decline in used car scrappage, there is number of registered cars over 10 years old continues to grow. We also expect continued growth in total loss frequency as we believe car complexity in terms of materials, technology and manufacturing tranches will accelerate the growth in repair cost, while at the same time, our scale, technology and member recruitment efforts both domestically and internationally will continue the current trend of increasing auction returns. Last quarter, our North America volume, excluding cats grew by over 10%. Over the last 17 quarters, our year-over-year quarterly volume growth has averaged 10.9%. Accordingly, we continue to be extremely active in our yard expansion programs. While we did not announce the opening of any new yards in North America this quarter, we did announce the expansion of 4 existing facilities. Additionally during the quarter, we closed 7 new land transactions, including 3 lease buyouts. We now own over 80% of our land. In total, we imposed on 22 land transactions in the last two quarters. We currently have 18 land development projects under construction, which when completed will deliver over 658 person capacity and includes a non-operational cat yard of over 100 acres in North Carolina. That concludes my brief remarks. Now, I will turn the call over to Kathy for the Q&A session. Kathy?
Operator: Our first question comes from Bob Labick of CJS Securities.
Bob Labick: It’s a great quarter.
Jeff Liaw: Thanks Bob.
Bob Labick: Couple of questions. One to start with cycle times, volumes remain very strong inventory growth is as strong as well but volumes continue to exceed that. Can you talk a little bit about the drivers behind that if you are seeing changes in cycle times, and if so, how you are achieving that or how you are getting the throughput that you are getting?
Jeff Liaw: Not sure I understand your question, Bob. Do you mind elaborate and give me?
Bob Labick: Sure. Inventories update and volumes in the subsequent quarter are up 12 and typically maybe it would have been I know it’s never the same every quarter, but they usually will line up over a number of quarters. We have been seeing trends of multiple quarters with the volumes exceeding the inventory, which could imply increased cycle times or I guess decreased cycle times on the lot. And so I was just trying to see if you could talk a little bit about the flow-through of cars and perhaps it’s related to the shift to non-insurance that Will talked about on the run and drive cars or any explanation or helpful color behind that would be great?
Jeff Liaw: Sure. I’d say, broadly speaking, Bob there hasn’t been any systemic shift in cycle time in terms of what it takes for us to process a car through the Copart system. I think as you note that Will did provide the additional color today that the growth in our non-insurance business, it ebbs and flows relative to the insurance business in the past quarter plus the growth has substantially outpaced our insurance growth. Therefore, the cycle times on those cars are certainly shorter and that has helped to drive some of the outperformance of unit sales, but no, not an underlying systematic shift in the business.
Bob Labick: Got it. Okay, helpful. Thanks. And then maybe just a little more color regarding that shift to non-insurance, is it a quarterly ebb and flow, is it a longer term shift we could expect to see in the future or how are you thinking about the shift to non-insurance and then the shift within non-insurance?
Jeff Liaw: So, when I said – and I misspoke and so when I say ebb and flow I certainly don’t mean the growth in the business, the growth has been consistent. I just mean that we have had calls in the past few years, for example, in which the insurance growth outpaced the non-insurance group. The non-insurance business has grown consistently. We think it’s a reflection in part of our excellent auction results, our member recruitment, which is a virtuous cycle. So, the dealers and the like are achieving excellent results and therefore are more inclined still to consign cars through Copart. As for the shift among non-insurance, we tend to talk about it as one chunk of business. As Will noted, the business is very different. There are dealer cars certainly financial institutions as well and charity volumes as well recognizing we have scarce resources. We of course wanted to deliver, first and foremost, excellent results and excellent service to our insurance carriers, but also to our non-insurance providers. We have to prioritize accordingly within that segment. That’s why you heard Will described growth in the dealer segment, for example, outpacing growth in our charities volumes.
Bob Labick: Got it. Okay, great and thank you for the color on Germany. It sounds like things are going really well. So I won’t ask questions on that, but I will ask – you mentioned Brazil, it was exciting topic a couple of years ago and kind of got superseded so to speak by Europe. Can you just give us a little update on the market in Brazil and how that is progressing and maturing?
Jeff Liaw: Sure. I will provide some comments and Will can jump in as well. I think the Brazilian investment at the outset we made is a long-term strategic play for Copart. We were temporarily affected of course by Brazilian macroeconomic and social issues that caused, for example, the currency to create relative to the dollar. In and of itself, the Brazilian business has performed quite well. And we, as you heard today, we believe our growth prospects there remain quite promising. So, the business is doing well. Absent the currency and macro issues about that that economy has faced over the past few years, I would say the trajectory has been very strong for us.
Bob Labick: Okay, great. And then last one, I will jump back in. The G&A, you noted, Jim, from the acquisition and other growth, is there kind of a quarterly run-rate? Is this the right run rate or that we should be thinking about on a go-forward basis?
Jeff Liaw: As you know, Bob, we don’t provide any forward guidance. I think we have been consistent in saying that always taking a multiple quarter view on things like G&A and it is the right analytical approach. So, I wouldn’t take one low quarter or one high quarter and necessarily extrapolate forever off of that basis alone. So the acquisitions that you heard us describe were NPA and the Finland business, AVK, which we acquired as well. NPA, I think you know heard almost a year ago. AVK is smaller in comparison. I would take a multiple quarter view as opposed to extrapolating solely from the third quarter, the second quarter, or the first quarter alone.
Bob Labick: Great. Thanks so much.
Jeff Liaw: Thanks Bob.
Operator: [Operator Instructions] Our next question comes from Ben Bienvenu from Stephens Inc.
Ben Bienvenu: Hi, good morning guys. Nice quarter.
Jeff Liaw: Thank you.
Ben Bienvenu: I wanted to ask about the cash generation of the business. It is significant you have shown at least episodically a willingness to acquire. I know Europe is kind of the next frontier of growth for you guys. To what extent are there incremental acquisition opportunities like AVK versus just building that out organically and how do you envision deploying cash and prioritizing your cash flows deployment over the next several years?
Jeff Liaw: Sure. Thanks, Ben. We always remain open of course to strategic investments that help to enhance our core business and/or themselves financially attractive. So we of course wouldn’t rule anything out in that regard. That said, the major European markets that we are pursuing in earnest is Germany most prominently among them don’t have like-for-like Copart auction model businesses in them. So, we are developing the business for the first time in those countries as opposed to acquiring existing enterprises. So if they happen, they won’t be substantial acquisitions in the core markets in which we are participating today.
Ben Bienvenu: Understood. And then just a clarifier follow-up on the whole car non-insurance business is that flowing both through the service and vehicle sales revenue and I have one quick clarifier on the vehicle sales revenue as well?
Jeff Liaw: In short, yes both, but not disproportionately one way or the other.
Ben Bienvenu: Okay, great. And then on the vehicle sales revenue, I think last quarter you had said that’s predominantly being driven by ASP growth. Is that still the case today? And as you think about the growth within that business, do you expect to devote a similar amount of your own capital to sustaining volume growth there and if so why or why not?
Jeff Liaw: You are talking specifically about our purchased car revenue, Ben?
Ben Bienvenu: That’s right, exactly.
Jeff Liaw: No, so the ASPs would have a modest effect there, meaning for the same volume in this quarter versus a year ago, yes, selling prices are higher and so that has caused some of the lift. I think there is a tendency to overweight the vehicle sales revenue, because it is a much bigger portion of the revenue, of course, than it is of our actual contribution, because in effect, the gross merchandise value, the GMV, is in the revenue number as opposed to the rest of our business. So, it’s still small on balance. We don’t view it as contributing or consuming a meaningful portion of Copart’s capital base, I think its more noise than substance frankly in the P&L.
Ben Bienvenu: Understood. Thanks a lot, Jeff. Best of luck.
Jeff Liaw: Thank you.
Operator: Our next question comes from Ryan Brinkman of JPMorgan.
Ryan Brinkman: My question, just relative to the non-insurance business, how high do you think that your non-insurance mix could get over the next few years and what might mean for your profitability or margin? And then maybe just more generally, how would you sort of subdivide the opportunity between those kind of nontraditional salvage cars sold by non-insurers versus more whole car type of cars sold by dealers, etcetera, more similar to like Adesa and Manheim today?
Jeff Liaw: Hey, Ryan. Thanks for the question. We are not prepared to comment on the forward market size or revenue size for Copart. I think it’s fair to say that the growth potential for us remains substantial for those cars as we have demonstrated in this quarter and in recent quarters as well.
Ryan Brinkman: Okay, great. And then just lastly, go ahead, please, yes.
Will Franklin: Yes. We are not looking to change our model to go to live auction or to change the operational structure in our facilities. We are reaching out and trying to enhance and add volume that this flow within our model and if we can do so by introducing new brands or back office programs then we are very attracted to those opportunities.
Ryan Brinkman: That’s helpful. Thanks. And then just lastly for me, I appreciate the color and the materially higher volume in Germany. I am curious if your experience there so far suggest that other continental European markets might be attractive for you to expand into with physical locations. Have you done any work on that potential opportunity and then when IAA as an independent company, do you think that they might represent more competition for you in international markets anything to think about there?
Will Franklin: Yes. All of Europe is attractive market to us. Our focus right now is Germany. And if we are successful in Germany, we think that the rest of Europe will follow suit just by virtue of the fact that many insurance companies are pan-European and understanding the effort it takes to expand internationally, which is tremendous and it’s just not a matter of learning the losses, developing the systems and buying and developing the facilities, which require not only time, but a lot of capital. It would take years for anyone to enter the market and compete against us at this point.
Jeff Liaw: Yes, I think it’s worth noting here that Copart extended internationally or overseas more than a decade ago into the United Kingdom and the capital, the management bandwidth, the expertise, the technology it takes to pursue opportunities like that is substantial. So not commenting per se on what any competitors might do. We recognize the investment is substantial and that we control our own destiny. So, we intend to invest thoughtfully and aggressively to expand those markets and believe that it’s largely in our control.
Ryan Brinkman: Very helpful. Thanks a lot.
Operator: Our next question comes from Gary Prestopino of Barrington.
Gary Prestopino: Good morning.
Jeff Liaw: Good morning, Gary.
Gary Prestopino: I wanted to touch on these non-insurance cars. Could you – non-insurance was about 21% of your volume this quarter. Do you have the number of what it was last year at this time on a percentage basis?
Jeff Liaw: No, but we can get that for you.
Gary Prestopino: Okay. And then with this mix shift to dealer cars was up you said the units were up about 83%, are they starting to become more of a contributor to your non-insurance cars? I mean, relative to the charity cars or whatever how has that mix evolved over the last on a year-over-year basis, is it more than 50% dealer cars now?
Jeff Liaw: In our non-insurance business, no, it’s not. And let me give that, we were 16.1% in North America third quarter of last year for non-insurance.
Gary Prestopino: Okay. So that’s still pretty good.
Jeff Liaw: Yes. And most of the growth, like we have said, has been with the higher end cars from dealers and financial institutions and these are really nice cars. They bring a high ASP. And we wouldn’t be getting these cars if we weren’t develop – returning a nice return to these suppliers. They can remarket these cars any place and they are selling to us. So, we are very happy with the returns that we are providing. We are very happy with some of these programs that we have put in place to help reduce friction at any point in the process for both the buyers and the sellers with respect to buying these cars. And we don’t – while we don’t make any predictions, we think the dynamics we are currently experiencing should continue.
Gary Prestopino: Well, that’s what I guess I am just trying to get at here to get an understanding and this is great that you are doing this, but whereas maybe a year or two ago, most of your account base may have been independent dealers with this product. It sounds like it’s moving more towards franchise and maybe towards commercial consignors. Is that a correct assessment?
Jeff Liaw: No, we really don’t do much with franchise dealerships. It’s just an expansion of our independent leadership program.
Gary Prestopino: Okay, so alright, alright. Okay. So you are just getting – because of what you are doing and you are doing it well, you are just getting a more higher quality car from the independent dealers?
Jeff Liaw: Yes, both in volume and in quality of their cars.
Gary Prestopino: Okay, thank you.
Jeff Liaw: You’re welcome, Gary.
Operator: [Operator Instructions] Our next question comes from Craig Kennison of Baird.
Craig Kennison: Good morning and thanks for taking my question as well. This is on the German market again I think in the U.S., you have said that approximately 35% of your bidders are coming from outside the United States. I am wondering what that metric looks like in Germany and really to what extent you are able to leverage an existing buyer base that you have cultivated while those bidders were looking at U.S. cars maybe several years ago, but now can look at German cars today?
Will Franklin: I don’t think there has been an extensive utilization of U.S. buyers on the German market. I think they developed their own market, their own buyer base. I can tell you that in terms of the number or the volume of cars that are going outside of Germany is very, very high, approaching 80%, mostly the Eastern Europe and Poland.
Craig Kennison: I guess that was my question. It was my understanding that many of those Eastern European buyers were one-time bidders at U.S. auctions and maybe you have been able to leverage that customer base to buy cars that are located in Germany?
Will Franklin: No, we really haven’t seen that. We did have a technical one and that remarketed cars under the old convention or I guess the existing convention for establishing residual values on salvage cars and many of those buyers are transitioning to the Copart platform, but we really haven’t seen many of the U.S. buyers transitioning.
Jeff Liaw: And Craig, further to that point as for the international activity on U.S. cars, that continues to rise year-over-year in terms of the number of bidders and the number of bids, the number of cars that go internationally, that trend for U.S. supplied cars continues to shift internationally.
Craig Kennison: Thanks. And then as it relates to your Finnish acquisition, to what extent does it bring new insurance customers or a new buyer base that you could leverage beyond what you are doing in Finland, but even with respect to other aspirations in Europe?
Will Franklin: Well, actually, the acquisition was from an insurance consortium that owned this salvage enterprise. So, we feel very comfortable that we will retain that business. Frankly, there aren’t many other options. One of the things that was attractive about it was the fact of enhancing our buyer base in Germany and other European locations.
Craig Kennison: Great. Thanks and congratulations.
Will Franklin: Thanks, Craig.
Operator: Our next question comes from Chris Bottiglieri of Wolfe Research.
Chris Bottiglieri: Hi, thanks for taking the questions. So if we hit back on the I guess non-salvage vehicles for a second. Could you tell us like who are the primary buyers of these vehicles are that you are sourcing from the dealers from the same coast, is an off-lease vehicle is pretty, typically where you sold to an independent dealer? So I guess my question is, are you finding that you are actually, I guess, one selling to like other dealers now that are transacting in their platform? And then two, are you running these like non-salvage vehicles on your existing auctions that would be the same ones that run the salvage vehicles or are you running like actual separate auctions for these vehicles?
Will Franklin: Currently, we are running them on our existing auction platform under the Copart brand. And I would tell you that the buyers are primarily dealers and exporters. So, if you recall the comments I made earlier, our international buyers besides Mexico which you would expect as this proximity are the UAE, Nigeria and now Jordan, people buying these cars, taking them to those locations and then redistributing throughout the region in those areas.
Chris Bottiglieri: Got it, okay. And then it sounds like online – this drive online platform that you have. Can you talk a little bit about this? I would think that’s a whole car initiative that sounds maybe similar to other trade driver ACV does, but maybe just provide some context for that?
Will Franklin: Sure. It’s a new brand that we have got it to our portfolio. We have CrashedToys and NPA and Copart and it’s a brand targeted at the whole car buyer providing them information and assurances that don’t normally exist on the Copart auction. For example, we are providing condition report and in certain situation, we will provide a vehicle grade based on the Manheim metrics. We are just being with the very initial phases of rolling this out.
Chris Bottiglieri: Got it, okay. And maybe unrelated or related, so I am trying to figure out, your purchase vehicle mix really spiked this quarter. Would you say this is all coming from international growth or could some of this be tied to some of your initiatives on the whole car side of the U.S.?
Jeff Liaw: Per the other commentary, I think there is a lot of noise, because it’s just not that substantial portion of our business overall. The international business is one factor. I don’t think the non-insurance business per se affects this mix one way or the other.
Chris Bottiglieri: Got it. Okay. I am going to be a little greedy here. Just one quick question on the currencies, it’s getting more important now. Can you just maybe give us a refresher on how do we think about the impacts of kind of a weakening dollar right now across your business like to what extent that like the sensitivity is for international buyers? And then two, is the UK business, does that – is that just translational accounting impacts or something else to tape out there? And I will hop off. Thank you.
Jeff Liaw: Sure. So in the near-term, we are generally speaking sure with the dollar. A stronger dollar makes our cars more expensive for international buyers. I am talking first about our U.S. auctions. So a weaker dollar enhances the purchasing power of international buyers and we would therefore see lists in our selling prices accordingly. So for the purposes of U.S. auctions, we are short at the dollar. When it comes to the UK earnings, as you note, there is first the effects of converting or translating. Those are our front words in GAAP territory, but nonetheless, the point is that our British pound earnings are worth more in U.S. dollars when the dollar is weaker and not when it’s stronger. Then, of course, within the UK itself, there is that similar effect that the stronger the pound, the less that non-UK buyers can afford to pay for cars and the opposite is true as well, that the weaker the pound is relative to the currencies of the buyers for UK cars, the higher the selling prices would be for those cars in the UK. But if you had to put just a five-word explanation, you would conclude that we, generally speaking, favor a weaker U.S. dollar.
Chris Bottiglieri: Impressive explanation. Thank you. Thanks for the help.
Operator: And the final question comes from Stephanie Benjamin of SunTrust.
Stephanie Benjamin: Hi, thanks for the question. I guess I will not ask a non-salvage question here. My first one is just on just like UK clarification question and I am sorry if I missed this, but did you give what the UK profitability improved year-over-year, I know that’s an initiative that you have been working on? So, just a clarification there would be great.
Jeff Liaw: No, we didn’t. We didn’t really provide that metric.
Stephanie Benjamin: Okay. And then just moving onto the U.S. service revenue per car and higher ASPs, obviously, the used car index and crushed body index we can all monitor, but I was wondering if you comment just on the increased bidding activity you are seeing, so what could possibly be driving this? Is this a function of a changing dynamic or we are lapping lower activity last year? Any color there would be helpful. Thanks.
Jeff Liaw: Sure. I’d start first we are certainly lapping a soft quarter last year or a soft quarter even in terms of bidding activity. We think the increased bidding, number of bidders and bidding activity is a reflection in part of our own investments in marketing in member recruitment here in the U.S. and internationally. So we have invested meaningful resources in expanding that buyer base over time and that is of course reflected in the bidding activity as well. To a lesser extent perhaps, but also relevant is that currency matter we just talked about that the dollar is weaker again year-over-year relative to some relevant currencies and that has enhanced the buying power of non-U.S. buyers within our U.S. auctions.
Stephanie Benjamin: Great. I appreciate it. Thanks.
Jeff Liaw: Thanks, Stephanie.
Operator: We have no further questions in queue.
Jeff Liaw: Terrific. Well, thanks for joining us for the third quarter fiscal ‘18 earnings call. We look forward to talking to you next quarter. Thank you.